Operator: Ladies and Gentlemen, thank you for standing by, and welcome to the PCTEL First Quarter 2009 Conference Call. At this time, all participants are in a listen-only mode. Later, we will open up the call for your questions. Instructions for queuing up will be provided at that time. As a reminder, the conference call is being recorded for replay purposes. I will now turn the call over to Jack Seller, Director of Marketing.
Jack Seller: Thank you for joining us today, April 30th, 2009, for the PCTEL financial results conference call for the first quarter of 2009. On today's call will be Marty Singer, Chairman and CEO; and John Schoen, Chief Financial Officer. Today's call will contain forward-looking statements within the meaning of the federal securities laws. Comments concerning our future financial performance, new products and product development, and expectations regarding the future growth of our wireless RF business, are forward-looking statements within the meaning of the safe harbor. Actual results may differ materially from those projected as a result of risks and uncertainties, including the ability to successfully grow our wireless products businesses, implement new technologies and obtain protection for the related IP. Additional discussion of these and other factors affecting the company's business and prospects is contained in our periodic SEC filings. These statements are made only as of today and we disclaim any obligation to update information to reflect subsequent events. I would now like to turn the conference call over to Marty Singer.
Marty Singer: Thank you, Jack, and Good afternoon. For those of you who have not had a chance to read our press release, I'd like to recap some of the non-GAAP highlights from the quarter on a continuing operations basis. We achieved revenue of $14.1 million, our non-GAAP gross profit margin was 48%, our non-GAAP operating margin was 3%, non-GAAP net income was $451,000, or $0.03 per diluted share, and our cash and investments were $77 million. I'd also like to add that in January, PCTEL made another strategic acquisition. We acquired Wi-Sys Communications, a Canadian-based company specializing in GPS antenna and receiver technology. We're well aware that we already discussed that with you in our last call. Now I'd like to turn the call over to John Schoen, our CFO, who will discuss our financial performance in some detail. Later, I will comment on our progress over the past quarter and what we see in the future. 
John Schoen: Thank you, Marty, and good afternoon or good evening to everyone. Our investors will note that the company presents non-GAAP financial information in its earnings releases, but the company believes that presentation of operating profit, and net income excluding restructuring charges, non-cash based expense including stock and stock option based compensation, amortization and impairment of intangible assets and goodwill related to the company's acquisitions, gains or losses on the sale of product lines and non-cash based income tax expense provide meaningful supplemental information to both management and investors. The non-GAAP financial analysis reflects the company's core results and facilitates comparisons across reporting periods. For more information on our non-GAAP financial results and reconciliation to GAAP measures, please refer to our earnings release that has been filed under Form 8-K with the SEC. The release can also be found on our website at pctel.com under Investor Relations. My discussion of results will be based on our non-GAAP financial results. Also as a reminder, the company sold its Mobility Solutions Software Group, or MSG, to Smith Micro in January 2008. The company's financial statements have been revised to reflect MSG as a discontinued operation. My discussion of financial results will address continuing operations. Let's turn to revenue. First quarter 2009 revenue from continuing ops was $14.1 million compared to $18.3 million in the first quarter of 2008, a decrease of 23%. Revenue was lower for both scanning receivers and antenna products. Scanning receiver revenue was lower on reduced carrier capital expenditure levels worldwide. Antenna revenue was lower in both the distribution and OEM channels, reflecting particular softness in land mobile radio and defense related antenna sales. The Wi-Sys acquisition that Marty mentioned earlier contributed $450,000 of revenue in the quarter. Let's turn to gross profit. Despite lower revenues, non-GAAP gross profit margin from continuing ops for the first quarter was 48%, unchanged from the same period last year. The first quarter 2009 contained a higher mix of scanning receiver revenue than the first quarter last year. The higher scanning margin percent relative to antennas offset the cost of lower overall volume over fixed costs. Now, let's turn to operating expenses. First quarter, non-GAAP R&D and SG&A from continuing ops was $6.6 million, that's down $100,000 from the same quarter last year. R&D expense was higher by $500,000 on engineering investments in scanning receivers and antennas, as well as the acquisition of Wi-Sys. SG&A is $600,000 lower through the closure of several unproductive sales offices and the restructuring our antenna manufacturer's representative sales channel. The connection royalty of $200,000 was unchanged from last year. Let's review then our non-GAAP operating Income. Non-GAAP operating income from continuing operations in the first quarter was $386,000 or 3% of revenue compared to $2.4 million or 13% of revenue in the same period last year. The results reflect lower gross profit dollars on lower revenue. The non-GAAP operating income impact of the Wi-Sys acquisition in the quarter was nominal due to integration costs. The integration is expected to be completed in the second quarter with $50,000 to $100,000 per quarter accretive effect starting in the third quarter. While not a part of non-GAAP operating income, I would like to give some background on the company's $1.3 million goodwill impairment charge incurred in the first quarter. This represents all of the company's remaining goodwill, including $384,000 related to the licensing segment and $922,000 just acquired with Wi-Sys. This impairment was caused by the accounting rules governing goodwill impairment as it relates to the total company's current market capitalization versus the book value of our assets. It is not reflective of management's long-term projected discounted cash flow of the underlying operations.  Now let's turn to other income. Other income was $165,000 compared to $784,000, a year ago. There are two factors contributing to the significant decline. Last year in Q1 we had $41 million more in cash and investments, primarily from the sale of MSG. The cash was utilized over the last twelve months for a one-time dividend, the stock buyback program, and the acquisition of Wi-Sys. The second factor is the overall decline in interest rates since last year. With regard to income taxes, the non-GAAP income tax rate in the quarter was 18%. Now let's take a look at the summary of non-GAAP earnings. Non-GAAP net income from continuing ops for the first quarter 2009 was $451,000, or $0.03 per diluted share compared to non-GAAP net income of $2.7 million or $0.13 per diluted share in the first quarter of 2008. To summarize the differences, net income from continuing ops was lower from decreased gross profit dollars on lower revenue and lower interest income. Now let us turn to the balance sheet. Cash and investments ended the quarter at $77 million of which $14 million is classified as long term. This is a sequential decrease of $1 million from the end of last year. The company spent $2 million in the quarter on the acquisition of Wi-Sys and generated $1 million of cash and investments from all other sources. Of the roughly $77 million in cash and investments on hand at the end of the first quarter, the company had approximately $1 million in operating bank accounts; $35 million in AAA market funds, which are in turn invested 100% in short-term U.S. Federal Government Agency securities or bank repurchase agreements collateralized by the same; $35 million in tax exempt pre-refunded municipal notes; and $6 million in the Columbia Strategic Cash Portfolio Fund, an enhanced cash money market fund. As a reminder, the Columbia fund is in the process of liquidation. Now I would like to the discussion of guidance for the second quarter 2009. Marty will discuss this as well in his prepared remarks. We anticipate revenue for the second quarter to be in a range of $13.5 million to $14.5 million. The company is seeing order booking rates in April consistent with that experienced in the quarter just ended. Non-GAAP gross profit percent for the second quarter is expected to be in a range of 47% to 48%, or about the same as the first quarter. Non-GAAP R&D and SG&A from continuing ops are expected to be between $6.5 and $6.6 million for the second quarter or about the same as the first quarter. We expect that R&D will be about a $150,000 higher from additional investments and SG&A will be about a $150,000 lower due to seasonally high trade show cost in appearing the first quarter each year. The connected royalty is expected to be $200,000 unchanged from the first quarter. As a reminder, the connected royalty agreement becomes fully paid up at the end of the second quarter 2009. Other income is expected to range between a $100,000 and $200,000 in the second quarter before any potential mark-to-market losses from our investments in the Colombia fund. The quarter did a mark-to-markets change in our Colombian investment is immaterial. The non-GAAP effective income tax rate is expected to remain unchanged in the second quarter at 18%. The diluted share count in the second quarter is expected to be about the same as the first quarter at 17.7 million shares, before any potential stock buy backs. That concludes the financial review. I would like to turn the call over to Marty for his summary comments. 
Marty Singer: Thank you, John. I am pleased to state that PCTEL remained profitable during this challenging economic environment by reducing costs and adding key customers and products. This is a key short-term objective, while still investing in R&D and acquisitions to build for the future. PCTEL continues to invest heavily in R&D. We will continue to invest the money saved through SG&A cost containment into our new product development efforts. The combination of our cost control and the development of new products for 2010 and 2011 will position PCTEL to take full advantage of the economic recovery. In the meantime our goal is to keep the company's non-GAAP net income breakeven point at the current level of a little below $14 million a quarter in revenue. As indicated in John's guidance for Q2, we have already taken the cost containment actions required to fund the additional R&D spending for the next quarter. Additionally, our integration of Wi-Sys will be complete in the second quarter, which will fund additional R&D spending beyond the second quarter levels indicated. Our story, however, is not confined to fiscal responsibility and the careful allocation of our resources. We are committed to aggressive development of leading edge products and a renewed focus on business development. I am pleased to report to our shareholders and the analysts who follow us, that this past quarter has been one of strong accomplishment and that we anticipate continued progress throughout the year. Let me review our progress in delivering upon our product roadmap commitments and meeting industry needs with innovative antenna products and scanning receivers for the cellular industry. As many of us noticed, this year both CTIA and 3GSMA were dominated by LTE-related announcements and it is clear that this new standard will be a major driving force in the wireless industry in the coming years. As we announced in Barcelona, we were first to market with a fully featured scanning receiver for LTE, leveraging the high performance SeeGull EX platform to support initial trials and deployments. LTE is an OFDM based technology that requires very high levels of processing. Hence, our EX platform is particularly well suited to provide unparalleled support for this new standard. As it is widely known, Verizon is one of the major operators aggressively deploying LTE. Recently, PCTEL also launched its new very high performance of the CDMA/EVDO version of the SeeGull EX. We were equally active on the antenna side of our business. We had strong traffic and interest at the International Wireless Communications Exposition, also known as the IWCE show and announced our next generation Medallion GPS antenna. This new product is multi-band and combines GPS with cellular, WiMAX, and WiFi capabilities. There are many applications for the Medallion. For example, a bus utilizing the GPS element for navigation might transmit and receive data over a WiFi network when pulling into a terminal. This capability will be deployed widely in public safety applications that involve communication between emergency response vehicles and dispatchers. The antenna covers most GSM frequencies and the Medallion will address a global market. We also announced our new WiMAX sector panel antennas for industrial and commercial use. These wideband antennas operate between 2.3 and 2.7 gigahertz. The new antennas have high gain with null fill capability that provides optimized extended coverage for broadband access, SCADA, and Telemetry applications. These Base Station Sector antennas are ideal for use in suburban, rural and remote areas. Some of the industrial applications include remote monitoring and control of oil and gas installations, smart metering, and smart grid deployments by electric utilities. We have had a strong quarter in business development activities, independent of the recession-related downturn in orders. Just last week we were informed that Emerson has included us in their Strategic Supply Summit on the basis of our strong quality, customer service, and technology. We secured our first major order for GPS Timing Antennas with Alcatel Lucent in China and successfully qualified our parabolic antennas for a nationwide project in Australia. With respect to existing customers, we secured five new SKUs with Cisco as part of their WiFi/WiMAX program and we received approval from Motorola for a major expansion program related to their MOTOTRBO Mobile product line. We anticipate supplying eight new mobile antennas to Motorola beginning later this year. In the scanning receiver business, we continue to develop new channels for direct and indirect distribution. Our recently released CDMA/EVDO and LTE products are already integrated by our key OEM partners. For example, you may have seen our joint press release with Anite, a major provider of cellular test and measurement equipment. Parts of Asia appear to be coping with the economic downturn better than most other regions. We are actively working with a number of potential new OEM partners and distributors in that part of the world and leveraging existing ones in order to participate in that growth. With respect to acquisitions, we have been talking with a variety of companies in both the antenna and network engineering space. Despite the deflated values, it is somewhat difficult to complete acquisitions in the current environment; everyone is convinced that their assets are undervalued and that they will benefit from waiting. From our perspective, it is important to be extremely cautious and avoid overpaying for acquisitions. Having said that, we believe that there are a number of attractive opportunities and we will update you as soon as we have any progress to report. The global economic and telecom growth outlook remains uncertain. Accordingly, we have adjusted to this challenging environment by focusing on cost reduction, business development, accretive acquisitions and new product development. As I mentioned earlier, we will continue to balance our operating expenses with revenue expectations. Our balance sheet remains very strong and we will have opportunities to effectively deploy our cash. If we continue to execute against our plan, PCTEL will be well positioned to take full advantage of the economic recovery. We have set aside 30 minutes for your questions. Operator, if you would like to begin?
Operator: (Operator Instructions). Your first question comes from Matt Robison.
Matt Robison - Wedbush Morgan Securities: First, a little housekeeping, what was the CapEx in the quarter?
John Schoen: CapEx in the quarter was a whopping $150,000.
Matt Robison - Wedbush Morgan Securities: Okay. Marty, what has happened with the Antenna channel inventories and how do you see things developing with the attempts, legacy, and RFS business?
Marty Singer: Okay, you've asked two questions there. Let me respond the both of them. As I mentioned Matt at that Wedbush Morgan conference that you hosted and had us participate in. What we haven't seen a sharp decline in inventories at our distributors. As a result, we thought we'd start to see a stronger uptick in April, we have not seen that yet. However, those inventory levels are getting down to two to four weeks, with the product and most of these distributors like to be at a much higher level, so they can satisfy customer demands for rapid delivery. We believe that we'll start to see the benefit of this no later than the third quarter as these distributors, replenish their inventory, but like everyone else is attempting to hold cash and get greater return on their investments, then this is something that we are going to have to our muscle through over the next eight weeks or so, but we do see this going in a direction. We're convinced that we haven't lost share and it's just a matter of seeing the distributors willing to investment more cash in their inventory.
Matt Robison - Wedbush Morgan Securities: You mentioned TEMS I believes Matt, in one of your notes before for those of you who are on the call and are thoroughly familiar with this issue as we've described before our RFS has a highly leveraged sales model. We as a neutral supplier of scanning receiver technology, sell our scanning receivers into the test equipment that is provided by SwissQual, Nemo, which is owned by Anite. And of course, TEMS, which was until very recently owned by Ericsson. Ericsson and Ascom announced that Ascom would be acquiring the TEMS unit and Ascom has a homegrown scanning receiver that it has by virtue of its some earlier acquisition of Comarco. We believe that we're going to be able to continue to complete for the combination of Ascom TEMS business. We do not see a disruption in the near-term and our focus is to simply provide a scanning receiver with the best price performance characteristics in the industry and to convince all providers of test equipment that they are far better off buying from a supplier, who is a specialist in this area, rather than investing [their scares] development resources into an internal and therefore a very limited market for their own scanners. So, in summary on that second question Matt, of course from one of your major customers, he gets acquired it is a concern, but we believe that we are dealing with this in a pretty productive way. And, at least for the foreseeable future we don't see on immediate threat.
Matt Robison - Wedbush Morgan Securities: If you look at the way your OEMs sold, to what degree td the other two have the ability to compete in the market for the TEMS customer base, should it come to?
Marty Singer: Yes. I think that they have a great capability. SwissQual has come from a very small status to be roughly it's a privately-owned company we don't know for sure, but we think that there are $20 million to $30 million in revenue. Anite/Nemo is of course larger than that in this space. And the data on revenues were released in one Ascom acquired TEMS, and awful lot of that service revenue and not necessarily custom measurement product revenue, so what I would predict is that you'll see a very concerted effort by SwissQual and Anite to work hard at grabbing more share. And so one thing that we are going to do is maintain our neutrality and continue to sell scanners to other companies as they attempt to grow as they compete with other players on the field.
Matt Robison - Wedbush Morgan Securities: How are SwissQual and Anite, how do they compare in size the TEMS for you guys now in that business?
Marty Singer: TEMS is the largest. Anite is the second. SwissQual is the third. I would not give out specific data though on our sales to individual customers.
Matt Robison - Wedbush Morgan Securities: Fair enough. Thanks for taking my questions.
Marty Singer: And thank you again Matt for the opportunity to participate at that Wedbush Morgan Conference.
Matt Robison - Wedbush Morgan Securities: It was pleasure having you.
Operator: Your next question comes from Ken Muth
Ken Muth - Robert W. Baird: On the Wi-Sys acquisition integration here, do you see yourselves investing a lot or is it require a fair amount of integration work or would you consider that kind of being done already?
Marty Singer: I think it's pretty much done and I think what you'll see, Ken, quite frankly is a pretty rapid move of the engineering responsibilities into Bloomingdale and we are looking to achieve significant synergies over the rest of the year.
Ken Muth - Robert W. Baird: Okay. And then kind of on the China 3G side, I mean what is the kind of opportunity timeline for you there? And some of the kind of scanning things you've talked about before or you mentioned in that 3GSM…
Marty Singer: Yeah. Ken, there is a media, and I was asked by the General Manager of our scanning receiver business unit not to call out some of the specific customers that we already have contracts with, but we are competing there now, we are competing there aggressively, we won some business. And as you know, last year we were early with the TD-SCDMA scanning receiver we have several combination scanning receivers. I think China is going to be a very strong market for us, but there are other things, of course, both with China and India is because the number of base stations are growing so rapidly, there is just a need for constant planning and re-planning and all of that bodes well for our scanning receiver sales.
Ken Muth - Robert W. Baird: So in your guidance that you are implying, there would be China in there?
Marty Singer: There is China in there. I would say that I see some softness right now in the U.S. that's offset by that.
Ken Muth - Robert W. Baird: And then, on the kind of the public sector side, is stimulus and money being spent there, when might that [see kind of] flow through to you guys?
Marty Singer: We've been to a couple of government meetings on this with, state level and city level, I guess, they're called Chief Intelligent Officers, Chief Technology -- not really Chief Technology, one of the confusing elements of the stimulus plan is that, there's not coordinated budget action at the state and local levels right now. I think that that's still going to take a while to work out. We would expect to see something there by the fourth quarter. The meetings, we've gone to, it's not clear how all that money is going to get allocated, what aspect of home loan security, what aspect of public safety, but should start seeing an increase in spend in the fourth quarter.
Ken Muth - Robert W. Baird: Okay and then just, kind of quickly, you mentioned where you thought total OpEx would be for the Q2, John. Does that, as you go through integration does that stay about flat than going out or is there possibility of synergy that Marty just commented that actually could come down in Q3?
John Schoen: Well, what we had -- what Marty had said was that, we're going to imply those synergies on the SG&A side back into more R&D. So as you model, I would, if we can get more synergy out of the [six things] we're doing now, as long as revenue stays at least, where it is today, we were going to plough those back into engineering and keep it at [fixed loan]. 
Ken Muth - Robert W. Baird: Okay.
John Schoen: Can I look forward to seeing you at the Baird conference here in Chicago in May?
Ken Muth - Robert W. Baird: Yes. Just one quick follow-up I had, as I forgot here, what would you say kind of your rough percent of revenue that's in the public sector now?
John Schoen: Well, the way I look at it is that, traditionally if you look at last year, we had $77 million in total revenue around $51 million of that was in antennas and about half of that was in public safety or highly-related areas to public safety. So approximately a third maybe 25% to a third of our revenue comes from public safety applications of LMR. 
Operator: Your next question comes from Mike Crawford. 
Mike Crawford: Thanks. You said the scanning receiver mix was high in the quarter. Can you give a rough break out between LMR, scanning receivers and others?
John Schoen:
 :
Mike Crawford: Okay. And on the LMR side, are there any deals in the works? 
John Schoen: On the LMR, Land Mobile Radio? Good example of some of the things we are doing in LMR go outside of public safety and into private networks, one other things, Mike, that you and I have talked about in the past and I know that Jeff mentioned that Jeff mentioned that [your] recent conference as the activities that we have in SCADA, Supervisory Control and Data Analysis networks that are applies to many different areas. We recently made a sale and we think that we're going to be able to expand upon this. In networks that are set up to use technology to better monitor control and safeguard water flow. And we do similar things in monitoring the flow and management of the oil, that oil and gas fields. And so there are some nice juicy verticals for us. The private enterprise wireless are network where we apply our LMR antennas to those types of SCADA applications. We're using the combination of antennas, Land Mobile Radio antennas and GPS antennas for positive train control or PTC systems. So, we recently had a very nice network go in, that uses our antennas in networks that are design to prevent crashes of trains and other community vehicles. Again, this is an example of a vertical that's a great application of the combination of the antennas that we have. So those are the type of verticals that we look at. We are very active in agriculture I think we've talked before about applying our GPS antennas to things like or to application such as precision fertilization and precision seeding. I am not going to mention the specific vendor, but I think we will be in two to three vendors now on these little vehicles that GPS control that's actually more precise in military control for these agricultural applications. So we are spending a great deal of time getting intimate knowledge about these applications on the private wireless side that are embedded into the broad SCADA category that use our GPS and use our LMR antennas.
Mike Crawford: Okay. You said the Wi-Sys integration is moving along but that the production is not fully transitioned?
Marty Singer: No, no, no, the production is fully transitioned. If I misstated that I apologize, Mike. Here is that I was trying to say. We have completed the integration as of today. There is no further work to be done in terms of transitioning production. What I was saying though is that there are some additional opportunities for synergy in which more of the engineering responsibility will be moved into Bloomingdale away from [Iowa]. As John pointed out that might not immediately translate into an OpEx reduction because we will take the fruits of that savings and plough them into increased spending in some key development areas. Is that clear?
Mike Crawford: Yes. Actually, but it wasn't really going to be, just my question was more, I saw the product line at IWCE and it was really just the commercial GPS stuff with nothing for the military, but the [booth] seemed to have some UAV and other kind of pictures there and it seems like military is a good opportunity for Wi-Sys to sell under the DoD, which is the market that would have been close to them as a Canadian company before I saw, is there…
Marty Singer: Well. We do actually sell our GPS into defense contractors that sell into the military. We've talked about that before. The business is a little bit lumpy, but that is an absolute and important vertical for us to expand. And those pictures portray accurately, the type of applications that we currently have and that we see in the future for our GPS antennas.
Mike Crawford: And final question is, it seems like the kind of leads that you were getting from the new medallion were maybe stronger than expected. So, what kind of revenue product line can that be in a decent market?
Marty Singer: I think it will be a great product line, but as you probably know, Mike, from other businesses lead generation to closing sales can take anywhere from six to 24 months, so it would be probably a little bit misleading for me to suggest a specific day that will fee up in X million dollar product line. I do believe that you are right, I think the leads for medallion are strong and that will develop further our GPS product line, which as you know is one of our areas of emphasis.
Mike Crawford: Okay, great. Actually, just one final question.
Marty Singer: Sure.
Mike Crawford: I know if you just brought back a handful of shares, what were the thoughts on that?
Marty Singer: We only had one day to buy and that was a limit we could buy, Mike. In other words because of Barcelona and because of the length of the closing process in the first quarter with [SoCs] and other things, we reported very late. As you know, we have a pretty strict policy here that we can only buy back shares and officers can only buy and sell shares in the middle quarter plus one week, the middle five weeks of the quarter. On top of that we don't do anything until three business days after the earnings release. So that left us I think with a whopping…
Mike Crawford: With one business day?
Marty Singer: A couple of days, and we then are further restricted in terms of buying back a percent of the volume per day. And so there was really not a big opportunity for us.
Operator: (Operator Instructions) We have no further questions at this time. Mr. Singer, do you have any closing remarks?
Marty Singer: Yes. Thank you for your help in this conference call. Thank you all for joining us on this call and webcast. We are planning to attend the Baird Growth Stock Conference in Chicago on May 13, and the Barclays Capital Worldwide Wireline and Wireless Conference in New York on May 27th and May 28th. We look forward to seeing many of you at those events. Thank you again, and we'll talk to you next quarter.